Executives: Stamatis Tsantanis – Chairman & Chief Executive Officer 
Operator: Thank you for standing for ladies and gentlemen and welcome to the Seanergy Maritime conference call on the second quarter 2014 financial results. We have with us Mr. Stamatis Tsantanis, Chief Executive Officer of the company. (Operator Instructions) I must advise you that this conference is being recorded today on July 31, 2014. Please be reminded that the company publicly released the financial results today before the market opened in New York where it is available for download on the Seanergy website which is www.seanergymaritime.com. If you do not have a copy of the press release, you may contact Capital Link at 212-661-7566 and they will be happy to email or fax a copy to you. Before turning the call over to Mr. Tsantanis, we would like to remind you that this conference call contains forward looking statements as defined in Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended, concerning future events and the company’s growth strategy and measures to implement such strategy. Words such as expects, intends, plans, believes, anticipates, hopes, estimates and variations of such words and similar expressions are intended to identify forward-looking statements. These statements involve known and unknown risks and are based upon a number of assumptions and estimates, which are inherently subject to significant uncertainties and contingencies, many of which are beyond the control of the company. Actually results may differ materially from those expressed or implied by such forward looking statements. Factors that could cause actual results to differ materially include but are not limited to competitive factors in the market in which the company operates, risk associated with operations outside the United States, change in rules and regulations applicable to the shipping industry and other risk factors included from time to time in the company’s annual report on Form 20-F and other filings with the Securities and Exchange Commission. The company’s filings can be obtained free of charge on the SEC’s website at www.sec.gov. The company expressly disclaims any obligation or undertaking to release publicly any updates or revisions to any forward looking statements contained herein, to reflect any change in the company’s expectations with respect thereto or any change in events, conditions or circumstances on which any statement is based. Now I will pass the floor to Mr. Tsantanis. Please go ahead.
Stamatis Tsantanis: Thank you, operator. Good morning everyone and thank you for joining our call. Today I will discuss our recent corporate developments and then I will briefly go through our first half of 2014 financial results. As we stated in our recent Q1 conference call, we successfully completed the significant financial restructuring that released the company from a total of 346 million of secured debt liabilities and all associated guarantees. This was achieved without having to resort court protection diluting our shareholders, or losing our listing on NASDAQ. We believe this achievement has positioned the company favourably to take advantage of future growth opportunities. For this reason, we are focused on completing all the necessary steps in order to finalize the previously announced acquisition of four Capesize vessels. As announced in April of 2014, certain of our major shareholders have agreed to contribute 4 modern Capesize vessels to the company in exchange for newly issued common shares. Pursuant to the terms of the relevant purchase agreement, the completion of the transaction is expected to take place by the end of the third quarter of 2014. Secondly, in May 2014, the company regained full compliance with the minimum shareholders’ equity listing requirements of NASDAQ. Thirdly, in June 2014, as part of the company’s balance sheet strengthening approach, certain of our major shareholders have contributed approximately 1.1 million in cash in exchange for newly issued shares. Apart from supporting our equity position, this transaction is a vote of confidence of our shareholders in the company’s strategy and long term growth prospects. As a result of these corporate developments, Seanergy will now be positioned to grow based on the favourable fundamentals in the Capesize sector while our long term compliance to NASDAQ list rules is ensured. We view Seanergy as an ideal platform for growth as the company [ph] has a clean balance sheet with zero indebtedness and [no] liabilities for other overheads. We will now briefly go over our financial results for the first half of 2014. For the six months ended June 30, 2014, our net revenues were $2 million, down 84% compared to the same period last year. The decrease reflects the operation of a smaller fleet as an average of 1.5 vessels were owned in the first six months of 2014 compared to 8.2 in the same period of last year. Net income in the first half of 2014 increased to $82.7 million, or $6.90 per share, up from a net loss of $13.7 million or $1.15 per share in the first half of 2013. The significant increase in our profitability is attributed to the gain of $85.4 million that was realized on the sale of the four vessels in March. As of the end of the second quarter 2014, shareholders’ equity was $3 million and there was no debt outstanding. Turning to general market conditions, nothing has changed regarding our outlook for the industry. We remain optimistic about the long term financials and the fundamentals of the dry bulk shipping and specifically of the Capesize sector. In particular, as supply of Capesize vessels starts to moderate and demand for core dry bulk cargoes continues to grow, it is highly probable that freight market dry bulk will materialize. In the first half of 2014, the imports of iron ore into China grew by 19% compared to the same period of 2013 while growth in the full year is expected to be around 13%. This is driven by major iron ore mining expansion in Australia which is significantly cheaper to mine than the [metro] Chinese iron ore. By comparison, the Capesize fleet is expected to grow by around 4.5% in terms of tonnage during 2014. The favourable fundamentals with dry bulk are also reflected in the charter markets where year to date in 2014, the average daily earnings of the Baltic Capesize Index are 88% higher than same period of 2013. Lastly, as increased demand for charter Capesize tonnage and long term charters, as approximately 47% fixtures have been reported so far in 2014 compared to 33 fixtures for the full year 2013. Finally, we believe that vessel acquisitions at historically low prices along with proven management expertise will allow Seanergy to deliver significant returns throughout the shipping market cycles. Thank you very much. Thank you for listening. And I will now pass the floor over to the operator. Hello operator.
Operator:  Hello, this is the operator.
Stamatis Tsantanis: Yes, we have concluded the conference call.
Operator: You have finished the conference call. Many thanks sir. I will disconnect all the lines. That does conclude the conference for today. Thank you all for participating. You may now disconnect.